Operator: Good day, and thank you for standing by. Welcome to the Q3 2025 Apogee Enterprises Earnings Conference Call. At this time, all participants are in a listen-only mode. Please be advised that today's conference is being recorded. After the speakers' presentation, there will be a question and answer session. To ask a question, please press star one one on your telephone. To withdraw your question, please press star one one again. I would now like to hand the conference over to your speaker today, Jeff Huebschen, Vice President, Investor Relations. Thank you, Jeff.
Jeff Huebschen: Good morning, everyone, and welcome to Apogee Enterprises fiscal 2025 third quarter earnings call. With me today are Ty Silberhorn, Apogee's Chief Executive Officer, and Matt Osberg, Chief Financial Officer. I would like to remind everyone that there are slides to accompany today's remarks. These are available in the Investor Relations section of Apogee's website. During this call, we will reference certain non-GAAP financial measures. Definitions of these measures and a reconciliation to the nearest GAAP measures are provided in the earnings release and slide deck we issued this morning. I would also like to remind everyone that our call will contain forward-looking statements. These reflect management's expectations based on currently available information. Actual results may differ materially. More information about factors that could affect Apogee's business and financial results can be found in today's press release and in our SEC filings. With that, I will turn the call over to Ty. Thank you, Jeff. Good morning, everyone.
Ty Silberhorn: Thanks for joining us today. This morning, I will share a few highlights from the quarter, discuss what we are seeing in our end markets, and touch on how we are working to position the company for growth. Then I will hand it over to Matt for more details on the quarter as well as our outlook. Let us start with the quarter highlights on page four of our presentation. Revenue in the quarter was in line with last year, despite seeing continued pressure from soft end market demand in non-residential construction. As expected, this softness is primarily impacting our framing and glass segments. As volumes decline in glass and framing, we saw their margins moderate compared to the first half of the year. Services continued to deliver positive sales and margin results as we executed projects in our backlog.
Ty Silberhorn: Services year-to-date adjusted operating margin is now 7%, within our 7% to 9% target range. The most notable highlight in the quarter was closing the acquisition of UW Solutions. The team is executing our integration plan, and we are encouraged by the early progress. I am very optimistic about how the team is coming together and the opportunities they see to leverage their shared capabilities to drive growth. Even after funding the acquisition, our balance sheet remains very strong, and we are well-positioned to continue to deploy capital to drive shareholder value. We are actively cultivating our M&A pipeline, evaluating opportunities to add differentiated products that fit with our strategy and will be accretive to our long-term financial profile.
Ty Silberhorn: Now let me offer some comments about the non-residential construction market. As I mentioned earlier, non-residential new construction remains challenging. Leading indicators such as the Architectural Billing Index have pointed to a contracting market for 20-plus months. We have and continue to see this softness in framing systems over the past several quarters, and more recently with awards slowing in our architectural glass segment. I will note that ABI has improved the past two months, which may signal a positive inflection point in the trend. The picture across different building types within non-residential construction remains mixed.
Ty Silberhorn: Interest rate-sensitive sectors like office, commercial, lodging, and multifamily housing have been weaker, while verticals like education, healthcare, and transportation continue to see growth. Across our architectural segments, we have continued to shift our mix toward the verticals with the highest growth opportunities. Notably, institutional projects including healthcare, education, and government are now the largest share of our backlog.
Ty Silberhorn: Most industry forecasts call for a continuation of these trends in calendar 2025. For example, slide five in our presentation shows FMI's forecast for 2025, which now reflects 1% growth in the overall market with continued declines in interest rate-sensitive verticals and growth in institutional verticals that also benefit from government funding. We continue to take the view that the downturn in construction will be short and shallow.
Ty Silberhorn: Most likely, we will continue to see pressure through the first half of our next fiscal year, primarily in glass and framing. Services will be executing a backlog that has been secured for much of our fiscal 2026. Regardless of what happens in the overall market, our goal remains to outperform the industry. Over the past several years, we have built a much stronger operating foundation, driving sustainable improvements across our business, and our team has demonstrated that we can deliver margin expansion and earnings growth even without meaningful market growth. We are also now executing acquisitions as a growth lever to further enhance and transform our business, providing us with exposure to higher growth areas and higher margins. As we move forward, we intend to build on this foundation to drive long-term profitable growth. We will continue to diversify our sales mix, focusing on the best market opportunities. Within our architectural segments, this means continuing to shift towards sectors of the market with higher growth rates. Most importantly, we will leverage the capabilities of UW Solutions to further expand into attractive market adjacencies. We are seeing positive momentum in industrial flooring, which gives us significant exposure to R&R in addition to new warehouse and distribution center opportunities overall. We will continue to look for acquisition opportunities that accelerate our growth and further diversify our business mix. We will do this while maintaining our focus on productivity, execution, and cost management. These have been the foundation of our improvements over the past few years, and we continue to focus on these areas to ensure we perform at a high level. Fiscal 2025 marks the end of the three-year plan we shared in November of calendar 2021. As you would expect, our leadership team is working to build the next evolution of our strategy. The new plan will leverage our strong operational foundation but place a bigger emphasis on driving growth while continuing to expand our margin profile. We are still early in our process, but I am encouraged by the opportunities we see to position the company for future growth in both revenue and earnings. We plan to share additional details with you in the new fiscal year.
Ty Silberhorn: With that, I will turn it over to Matt. Thanks, Ty, and good morning, everyone. I will start with a review of the results for the quarter and our updated outlook, before I finish with some preliminary thoughts on how fiscal 2026 is shaping up. Starting with the consolidated results for the third quarter, net sales were $341 million and included $8.8 million of inorganic revenue from UW Solutions. On an organic basis, net sales declined approximately 2%, primarily driven by lower volume in glass, partially offset by continued double-digit growth in services. Adjusted operating margin declined 70 basis points, driven by unfavorable sales leverage from lower volume, a less favorable product mix, and higher incentive compensation and lease expense. These drivers were partially offset by a more favorable mix of projects and services and lower insurance-related costs. Adjusted diluted EPS was down 3%, coming in at $1.19, primarily driven by lower adjusted operating income. Turning to the segment results, framing net sales declined approximately 1% to $138 million, primarily reflecting a less favorable product mix. Volume in framing increased during the quarter, and the rate of sales decline moderated significantly compared to the first half of the fiscal year. Adjusted operating margin in framing declined to 9.8%, reflecting a less favorable product mix along with higher costs for freight and compensation. As expected, net sales in glass declined this quarter, as soft end market demand impacted volume. As we previously discussed, glass has a high variable contribution rate, making margin rates sensitive to changes in volume and pricing. The lower volume levels this quarter were the main driver of the decline in adjusted margin. Services delivered its third straight quarter of double-digit net sales growth, with net sales growing 11%. Adjusted operating margin also continued to improve, coming in at 8.6%, making this the fourth straight quarter of year-over-year margin expansion for services. The services backlog ended the quarter at $742 million, compared to $792 million last quarter, and was 4% lower than a year ago. Overall backlog levels remain healthy, with nearly two years of sales in backlog. However, the declining trend over the past two quarters reflects the softness we have seen in the overall construction market. LSO sales grew 28% to $33.2 million, primarily due to inorganic sales from UW Solutions. Organic net sales declined 6% as we continued to see lower volumes in the retail channel. Adjusted operating margin declined to 18.6%, reflecting unfavorable leverage from lower volume in the legacy LSO business and the dilutive margin impact from UW Solutions. Corporate and other expenses increased to $8.8 million, which included $4.5 million of costs related to the UW Solutions acquisition. This was partially offset by lower incentive compensation costs and lower insurance-related expenses. Turning to cash flow and the balance sheet, cash from operations remained strong but was below last year's record level. We generated $31 million of cash from operations in the quarter, bringing our year-to-date total to $95 million. During the quarter, we executed our $250 million delayed draw term loan to fund the acquisition of UW Solutions. We finished the quarter with a consolidated leverage ratio of 1.3 times, and we expect to pay down debt in the coming quarters, further strengthening our financial position. We continue to have significant capacity available on our credit facility, giving us ample dry powder for further value-creating capital deployment. Moving to our outlook for the full fiscal year, we now expect net sales to decline by approximately 5%. This includes the impacts of approximately $30 million of incremental net sales from the UW Solutions acquisition, as well as lower than expected volume in the fourth quarter, primarily in the framing and glass segments. Also, as a reminder, the fourth quarter will have the comparative impact of the incremental 53rd week of activity in fiscal 2024. We continue to expect full-year consolidated adjusted operating margin will be approximately 11%, primarily driven by the strong margin performance in the first half of the year. We expect adjusted operating margin to decline sequentially in the fourth quarter, primarily due to the impact of lower volume and pricing pressure in glass and framing. We expect that full fiscal year adjusted operating margins for framing, services, and LSO will be within their respective target ranges, with glass finishing in the high teens for the year. We now expect full-year adjusted diluted EPS will be at the bottom of our range of $4.90 to $5.20. This includes approximately five cents of dilution related to the UW Solutions acquisition and the impact of lower than previously expected volume in the fourth quarter in framing and glass. We continue to expect an effective tax rate of approximately 24.5% and now expect full-year capital expenditures of $40 million to $45 million. Looking ahead to fiscal 2026, we are currently working through our budgeting process and expect to provide an outlook for the new fiscal year on our call in April. However, I thought it would be helpful to share some initial perspectives on next year. We are continuing to monitor economic and market trends and evaluate the potential impacts on our business. As Ty described, most forecasts call for a continuation of current market conditions. However, as more recent forecasts have been released, growth estimates for calendar 2025 have consistently been revised downward. We also see more uncertainty in the market with the incoming presidential administration and potential for several significant policy changes that could have wide-ranging impacts on non-residential new construction. Near-term market conditions would generally have more impact on the framing and glass segments and less impact on the services segment due to the longer-term nature of the projects in backlog. In LSO, we continue to expect that UW Solutions will contribute approximately $100 million of net sales at an adjusted EBITDA margin of approximately 20% and will be accretive to adjusted diluted EPS. We also see an opportunity for organic growth in LSO as retail channel volumes recover and as we pursue growth in adjacent markets, leveraging the capacity investments we have made. From an adjusted operating margin perspective, based on sustainable performance improvements we have achieved and a continued focus on executing our strategy, we see an opportunity for all four segments to be within their target adjusted operating margin ranges for next year. We have, however, identified some potential fiscal 2026 operating income headwinds that we expect to put pressure on EPS growth. Glass margins are expected to moderate from the high teens in fiscal 2025 to be within the segment's long-term range of 10% to 15% in fiscal 2026. Additionally, in fiscal 2025, we have benefited from lower insurance-related costs and lower short-term incentive costs that are expected to be headwinds in fiscal 2026. We are currently working through action plans to try to offset these items as well as prepare for other potential market headwinds. Finally, due to the strong results we posted in the first half of fiscal 2025, we expect the year-over-year comparisons to be most challenged in the first half of fiscal 2026. Although we are facing some fiscal 2026 headwinds, I am excited about the potential of our business. The third quarter delivered solid results, and we are focused on managing through current challenges in the market while balancing strategic investments that will enable future growth. The acquisition of UW Solutions is expected to provide expanded opportunities for growth, and we continue to look for additional organic and inorganic investments to accelerate our strategy. With that, I will turn it back over to Ty for some concluding remarks. Thanks, Matt. Let me close by recognizing our team for continuing to build momentum as we execute our strategy. I also want to thank everyone that has been involved with the UW Solutions acquisition and the great progress we have made to date with that business. The work we have done over the past year puts the company in a solid position. We have strengthened our operating foundation, built a more competitive cost structure, increased our mix of differentiated products and services, and made investments to enable future growth. We have done this while continuing to generate significant free cash flow and maintaining a healthy balance sheet, allowing us to deploy further capital to support our strategy and drive shareholder value. With that, we are ready to take your questions.
Operator: Thank you. Our first question comes from Julio Romero with Sidoti and Company. You may proceed.
Julio Romero: Hey. Good morning, guys, and happy New Year. Good morning, Julio. Hey, Julio.
Ty Silberhorn: Hey. Good morning. Can we maybe start with the glass segment a little bit and talk a little bit about the end market weakness you are seeing there? You know, how are price and mix holding up in the segment? Then secondly, how much lower should we be modeling Q4 sales dollars in glass relative to Q3? Because I think the guide implies some sequential step down from Q3.
Matt Osberg: Yeah. Good question, Julio. So I think what you are seeing right now, especially in Q3 in glass, is more pressure on volume. The price is still kind of holding up. But my expectation is, you know, price will continue to be under pressure as volume pressure continues, and, you know, we do expect volume to continue to be under pressure in Q4 as we kind of laid out today. You know, in terms of how to think about it, I mean, yeah, you know, we talked about volumes coming down Q4 primarily in framing and glass. Most of that, you know, is in framing, but there is some in glass that is going to be due to pressure on price and volume. And, you know, I think just from a run rate perspective, you know, I think it is something in the ballpark of around Q3. You know, maybe a little bit above, maybe a little bit below depending on how things shake out. But Q3 is probably a good benchmark for Q4.
Julio Romero: Got it. That is very helpful. So I guess we should be thinking about a greater step down in the fourth quarter, from a volume perspective, in framing than we should be in glass. Is that fair?
Matt Osberg: Yeah. That is fair. And I think the other thing that is in there too is, you know, Q4 has got the additional week of compare in last year. So that kind of makes it hard to parse that out, you know, specifically. But I think there will be more volume pressure in AFS and then glass.
Julio Romero: Got it. Very helpful. And then, you know, talking about the UW acquisition a little bit, you mentioned some positive momentum in industrial flooring. Can you expand on that a little bit? And then also touch on the other two product lines, HD printable materials and then hearing coatings, if you could?
Ty Silberhorn: Yeah. This is Ty. I will take that one. So if you will recall, industrial flooring was a little less than half of the revenue for that business, you know, which the total business is about $100 million in sales. We like all parts of that business, but that was a significant part that really interested us in giving us a differentiated product in our portfolio, giving us exposure to the R&R and not having to rely so much on new construction build-out, and it really opened the door for us for warehouse distribution and even manufacturing plants, which, you know, other than several thousand dollars per project on an entrance system basis, we did not have a lot to sell in there. So, you know, we were not guiding specific to those product lines, but we have seen, I would say, better than what we expected in terms of pipeline opportunity growth. So we do think that that part of the business is really going to drive UW Solutions' revenue over the next couple of years. And when you combine it in with LSO, especially with some of the softness they have seen on the retail side, we think that is a positive lift for the business overall, and it also has very strong margins.
Julio Romero: Very helpful. If I could sneak one more in here, I really appreciate the preliminary fiscal 2026 commentary you guys gave. Can you also maybe talk to the plans to deploy capital in fiscal 2026 a little bit? I think you mentioned, you know, a pretty robust M&A pipeline. And then also you talked about, you know, plans to continue to pay down debt. Any other commentary you could give there would be helpful. Thank you.
Matt Osberg: Yeah, Julio. So, you know, we are ending the quarter here at a 1.3 times ratio. So we have got current capacity that we can still deploy today. As you mentioned, we did call out that we will continue to pay down debt. Obviously, you know, interest costs are high, and, you know, the faster we can delever there, the less interest expense we will have in fiscal 2026. But, you know, we continue to have our foot on the accelerator from an M&A pipeline perspective. We have got capacity to do a similar-sized deal to UW Solutions, you know, today without further debt capacity. And, you know, so we continue to look at that as, you know, our number one priority for deploying capital. Also, we are looking at, you know, other organic investments we can continue to make internally to drive some growth, and we will continue to pay down debt while those are not available to us. But as those become available, you know, we will definitely turn our capital deployment strategy to driving those kinds of organic and inorganic investments.
Julio Romero: Great context. I will pass it on. Thanks very much.
Matt Osberg: Thanks, Julio.
Operator: Thank you. Our next question comes from Brent Thielman with DA Davidson. You may proceed.
Brent Thielman: Hi. Thanks. Good morning, guys.
Matt Osberg: Morning, Brent.
Brent Thielman: Excuse me. Sorry. Just on Ty, you alluded to some of the forecasts out there by third parties. Just in terms of the market, but your, you know, your services business, I think, you know, is one of those areas in the company that, you know, gives you, it has longer lead times, gives you some visibility. Are the trends that you are seeing in terms of sort of bookings or quotes, you know, any other KPIs within that business sort of aligning with what some of the third-party forecasts suggest about the market? Are they worse? Are they better? Just be kind of curious what you are seeing in terms of underlying demand trends in that business.
Ty Silberhorn: Yeah. They would say it is aligning. You know, we are not guiding yet for next year, but I think as we look at their backlog and how fiscal 2026 is shaping up, they are probably going to demonstrate that they will outperform the market a little bit. You know, even if they, let us say, were flat year over year, we would see that as a win with everything else we are seeing in kind of the core project types. And that is a little bit of the flight to quality. We are certainly seeing that as the markets have tightened up. They are getting looks and even second looks on some projects. As a result of that, it does put a little pressure on their margin because as projects, you know, fewer projects, there are more people chasing fewer pieces of the pie. So there is a little bit of pressure there, but they have been executing on the productivity side that got them back into that 7 to 9, and we expect they will be operating within that 7 to 9% target range. But overall, they would also say yes. There is definitely softness in the market. Some choppiness again with projects looking like they are ready to go and then getting held before they give a firm yes on an award. So they are seeing a bit of that choppiness.
Brent Thielman: Yeah. And, you know, I mean, obviously, the glass segment margins kind of reverted back to your target range this quarter. You have been saying that all along, and that should eventually happen. Does the profile of new orders you are seeing in kind of this weaker market give you the confidence to stay within that target range? Matt, I know you did allude to fiscal 2026. You expect to do that. I guess just, you know, my concern is some impact to operating leverage here with volume down. So if you could just kind of walk through the pieces, I guess, of what gives you the confidence to stay in that range in glass in this really tough market, it would be helpful.
Matt Osberg: Yeah. No. It is a good question, Brent. But, yeah, you did pick it up. I mean, we are seeing a path for glass to be in their target range next year. And, you know, like you said, they are going to be in the high teens this year. So even moderating into the middle of that range is a significant decline. But going back to your question is, you know, we have made real structural change in that business in terms of the productivity that we have got, the efficiency we have got, and the way we go to market and the type of projects that we try and go after as well as, you know, looking at the value add that we can provide. So, you know, we believe that that 10% is a floor for that business even in a challenged top-line year. And that we have got, you know, a real structural change built into that business from where it was three or four years ago that we can be within that 10 to 15% range even in a year we have got some top-line headwinds. Yeah. And I would echo that. If you just look at the quarter, I mean, year over year, you know, a little more than 20% decline in revenues and still deliver 14% plus on the operating income side, on the EBIT side. So I think that is evidence of what Matt just said if we are looking for proof points within that. We do expect the high-value add products. We are seeing pressure there. So not only, you know, volume from a bid perspective, we see coming down, and they really started to feel that this quarter, and they can see that in the next couple of quarters. But they are also seeing pressure of, you know, hey, we really wanted to have three or four of those additional high-value adds in that insulated glass unit. But we are trying to get this project to get green-lighted, and we are trying to shave some dollars. So maybe we can only afford to pay for two or three of those high-value adds in the IGU. So that affects mix a little bit. But even with that, as we project out, I think they are comfortably looking to stay in that 10 to 15%. And, of course, that gives upside as volume turns, which, you know, we will see how the calendar year starts to play out here. But if it starts to turn in the second half of calendar 2025, then, you know, that starts to show up again from a mix and price standpoint.
Brent Thielman: Yep. Maybe just another last one. Sort of a follow-on, I guess, to Julio's question about cap allocation. I just, you want to pay down the debt. Maybe, Ty, I mean, the extent that you want to focus on paying down debt and integrate UW, I am sure you are still talking to, you know, other potential prospects on the acquisition side out there. If you could just kind of give us some flavor for what you might be looking for and, you know, is the acquisition pipeline active?
Ty Silberhorn: Yeah. I mean, our acquisition pipeline is very active. I think that market is also heating up. A lot of folks sat on the sidelines waiting for interest rates to kind of settle and hoping to have more bidders and processes. So we are seeing activity pick up on that. That will be a focus for us, especially if we think, let us say, FMI is right and it is kind of a flat year for non-residential, and that is still getting a lift from manufacturing plant and warehouse build-outs, which are still forecasted to be healthy growth rates. So we will continue to focus there. Strategically, like we said, it has to fit within our capabilities both from a think about it from a technology manufacturing process standpoint, and then we are looking to add more differentiated products like we got with UW Solutions. You know, that tend to also bring higher margin rates than the rest of our businesses. So we will be opportunistic. We will use that strategic lens coupled with we want accretive margins. We want it to continue to help lift our margin profile. There is a growth emphasis there too. We are looking to acquire things that are going to open up higher growth spaces for us as well.
Brent Thielman: Very good. Thanks for taking my questions.
Matt Osberg: Thanks, Brent.
Operator: Thank you. Our next question comes from Jon Braatz with KCCA. You may proceed.
Jon Braatz: Good morning, everyone.
Matt Osberg: Good morning, Jon. Hopefully, you are digging out alright.
Jon Braatz: Well, I did that yesterday. I am done for the year, hopefully. Hi, Matt. And, Matt, you spoke a little bit about the industrial flooring market for UW. And I guess when you speak to the group there and you think about it, what kind of sensitivity might that end market have to higher interest rates and maybe a slower economy or maybe some of the administration transition? Is there any concern that that market could weaken a little bit?
Ty Silberhorn: I think when we see that, remember this flooring is really driven not only by putting mezzanine floors in existing facilities. We do have some work that gets specked in for on first-floor build-out, it is the robotics component. So there is a benefit there that, frankly, even with tight labor, etcetera, that creates an opportunity where people are looking to put robotics into their facilities to address some of the labor challenges or labor cost issues. It is also nice because it is about 80% R&R. So it is a retrofit of an existing facility. It is not relying on new plant or new warehouse build-out. Obviously, if consumer spending is picking up and so the Walmarts, the Amazons, etcetera, see growth and want to continue to add to, you know, existing or build new facilities, that is a plus. But otherwise, you know, I think that business for the next few years is relatively insulated from that. You know, yes, there could be years where they get a couple of huge wins across a couple of sites. They give them a big lift. But we like that business a lot. We are investing in that. We are going to continue to look at other areas we can add into the portfolio that gives us that type of exposure.
Jon Braatz: Okay. Matt, you mentioned a big win. How big is a big win? How much can it move the needle for that group?
Ty Silberhorn: Yeah. Jon, this is Ty. We will not get into those specifics. But if, again, that business, you know, a little less than half of UW Solutions, it is a lot of smaller projects, think hundreds of thousands. However, they have got some large accounts where, you know, someone could decide we are putting mezzanines in ten facilities and doing robotics in every one. And so now you are into a million-plus type of opportunity. But most of that business is smaller dollar. Again, we like that too. Right? We do not have to rely on a huge project win, like we would have to see in services or even glass to move the needle for them.
Jon Braatz: Okay. Good. And then last, secondly, you have been investing, making some investments in LSO in adjacent markets, and what kind of progress are you seeing in that regard? Can you give us a little update?
Ty Silberhorn: Yeah. I would say we are seeing good progress. So in terms of building that opportunity pipeline, getting a couple of projects across the finish line, we have seen those positives. Obviously, we would like more. It is getting drowned out a little bit because of the retail side. It has been for them. And, you know, that is kind of hiding some of the gains that they are getting there, but they have got good momentum. We will probably be putting a lot of attention on that business overall in our fiscal 2026.
Matt Osberg: Yeah. I know it is one of the things that called out is, you know, we see a lot of growth, organic growth opportunities in that legacy LSO business as well in fiscal 2026.
Jon Braatz: Sure. Okay. Great. Alright. Thank you very much.
Matt Osberg: Thanks, Jon.
Operator: Thank you. And as a reminder, to ask a question, next question comes from Gowshi Sriharan with Singular Research. You may proceed.
Gowshi Sriharan: Good morning, guys. Good morning.
Matt Osberg: Just with the EPS guidance, what are the key factors that could potentially drive the performance towards the upper end of that range in Q4?
Matt Osberg: Yeah. So, Gowshi, this is Matt. You know, as we tried to be, you know, pretty thoughtful in directing people towards the bottom of that range for the year, which obviously all that plays out in Q4. And I think the big driver we are seeing there is just more pressure on volume than we expect. And so I think as we look at Q4, volume is probably our biggest variable that drives that. What we are seeing now would put us towards the bottom of that $4.90 to $5.20 range.
Gowshi Sriharan: Okay. Thank you. In terms of the UWS progress, can you give me a little more color on what synergies you are expecting? And I think you had, like, a target of $100 million contribution for FY26. Any update on that?
Matt Osberg: Yeah. So for FY26, we are still projecting that we are going to have $100 million contribution from UW Solutions at about a 20% adjusted EBITDA margin, and we do expect that to be accretive to EPS next year. And we do have outlined that we are trying to achieve $5 million in synergy targets as we move through the next, you know, 12 to 18 months as we look at bringing in the business. We have already started to realize some, but we are, you know, working through the integration process here. And I would say we are on track. It is where we expected to be.
Gowshi Sriharan: Okay. In terms of the market conditions and the changes for your long-term operating margins, I am sorry. I might have missed this, but any particular number for the architectural framing that you are putting out on our page?
Matt Osberg: So framing, you know, for this year, we expect framing to be within its, you know, 10% to 15% range. And next year, we see opportunity for them to be in their long-term range as well in fiscal 2026.
Gowshi Sriharan: Awesome. That is all I have, but thank you for you, guys.
Matt Osberg: Thank you.
Operator: Thank you. I would now like to turn the call back over to Ty Silberhorn for any closing remarks.
Ty Silberhorn: Thank you again for joining us today, and we look forward to providing you with another update in our April call as we close out our fiscal 2025. Have a great rest of your week.
Operator: Thank you.